Operator: Good morning, and welcome to the New York Times Company's Second Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mike Brown, Vice President, Assistant General Counsel and Corporate Secretary. Please go ahead.
Mike Brown: Thank you, and welcome to the New York Times Company's second quarter 2023 earnings conference call. On the call today, we have Meredith Kopit Levien, President and Chief Executive Officer; and Will Bardeen, Executive Vice President and Chief Financial Officer. Before we begin, I'd like to remind you that management will make forward-looking statements during the course of this call. These statements are based on our current expectations and assumptions, which may change over time. Our actual results could differ materially due to a number of risks and uncertainties that are described in the company's 2022 10-K and subsequent SEC filings. In addition, our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. And finally, please note that a copy of the prepared remarks from this morning's call will be posted to our investor website shortly after we conclude. With that, I'll turn the call over to Meredith Kopit Levien.
Meredith Kopit Levien: Thanks, Mike, and good morning, everyone. For more than a year, we've been executing on our strategy to become the essential subscription for every curious English-speaking person seeking to understand and engage with the world. Our strong results this quarter demonstrate that the strategy is working as designed. Let me share the highlights. Digital subscription revenue is growing, thanks to gains in both subscriber volume and ARPU. Subscriber engagement remains high and is fueling growth in all of our major revenue streams, including digital subscriptions, digital advertising and affiliate, and we've continued to exercise cost discipline even while investing into and enhancing the value of our products and bundles. We owe these results in large part to getting more people to experience the full and unmatched threats of the time, which they are increasingly buying as a bundle. As we've said, uptake of the bundle is an essential part of our ability to drive sustainable value creation, including AOP growth, free cash flow growth and margin expansion. On that note, we are on track to deliver all three this year despite ongoing market challenges. I'll turn now to the major contributors to our second quarter results. We added 180,000 net new digital subscribers with more than half of our digital starts taking the bundle for the second quarter in a row. More than a third of our nearly 10 million subscribers are now bundled or multiproduct subscribers, which supports our belief that over the next few years, we can get to 50% or more of our total subscribers on the bundle. We also grew digital ARPU for the fourth consecutive quarter. And for the first time since our acquisition of the Athletic, we grew digital ARPU year-on-year. That growth is a direct result of our value-based pricing strategy, which combines attractive promotional pricing, multiple subscription options and approve [ph] visibility to step up subscribers to higher prices and more products over time as they come to experience how valuable our products are in their lives. We saw all of those elements of our pricing strategy on display in the second quarter, and I'll note particularly that our ongoing deployment of price increases for tenured subscribers to news and games is going well as we continue to enrich both of these fronts. We view the quarter's subscriber results as a testament to our broad and valuable product portfolio, which continues to attract a large engaged audience despite the ongoing reality of less traffic from the platform and a new cycle less dominated by singular stories that capture unprecedented attention. Consistent with the pattern we saw last quarter, subscriber engagement was strong across products and subscriber tech. We were especially encouraged to see engagement for early tenure subscribers, many of whom bought the bundle even higher than last quarter or last year. As we've said before, this strong subscriber engagement is a leading indicator for healthy retention and long-term pricing power. It's also an outcome of the inherent appeal of our offering and our ability to regularly deliver compelling new product features. Let me give you a few examples. In news, we added a new data journalism feature that tracks extreme weather across the U.S. in a personalized way and includes a tool to monitor the places you care about most in near real time. We also expanded our newest daily warning audio show called The Headline, which can be found in our subscriber-only audio app, which we made available widely in the second quarter. New features like these supplement the strong engagement we continue to have for our unparalleled coverage of big important stories like the war in Ukraine, the global economy and the forthcoming presidential election. In games, we launched a new word matching puzzle in beta called Connections, which is already attracting millions of users. We also added two more popular puzzles to the Games app, Letter Boxed and Tiles, and we introduced Spelling Bee Past Puzzles as a new subscriber only benefit. We made these enhancements even as tens of millions of people continue to play Wordle every week, which gives us a huge audience to whom we can introduce other games, news, sports, recipes and shopping advice. I'll note that while Wordle is a hit like no other, our audience of people playing games other than Wordle has experienced record growth over the last year and the giant audience we now have for Games continues to power start for both our game subscription and the bundle. We expect the Athletic to play a similar role in our funnel over time, and we made a number of technical and journalistic enhancements to its product in the quarter to drive engagement. Those enhancements help propeller's audience to substantial growth for the second quarter in a row, and we continue to make good progress for our goal of Athletic profitability. Advertising performed better than we expected in the quarter, with digital advertising up 6.5%. We attribute our strength to growth in our core offering, a combination of proprietary premium ad canvases and first-party data. We also saw the benefit in the quarter of our effort to extend our ad products across the bundle and in particular, in the Games and the Athletic. Advertising revenue for the Athletic more than doubled year-on-year for the second quarter in a row, and the Athletic is driving new advertisers, not just on its own destination but across the time. Print advertising declined in line with our expectations. I'll close on advertising by noting that while visibility from quarter-to-quarter remains limited, we continue to believe the fundamentals of our business position us well for long-term growth in digital advertising. Our Other revenue category was up 16% in the quarter, anchored by Wirecutter, which had its best non-holiday quarter ever. This momentum continues in the current quarter with Wirecutter having its best ever sales around Amazon Prime Day. I'll turn briefly now to cost. In Q2, we continue to exercise cost discipline with moderation of cost growth coming earlier in the year than planned. We feel really good about where we are on cost and plan to maintain our active management of cost growth, even while continuing to invest strategically to build our moat. I'll wrap up by noting that these results showcase the resiliency of our model and the multiple levers we have for growth. This is particularly important given the context in which we're operating, which includes an uncertain economy, audience headwinds and an information ecosystem that continues to evolve. We're confident that our clear strategy and continued strong execution position us well against this backdrop. We view our essential subscription strategy as a real success story thus far, driving subscriber volume and ARPU increases, building engagement that fuels growth across multiple revenue streams and creating leverage that allows us to control our costs. All of that enables us to build a larger and more profitable company, which, in turn, allows us to continue to do the most ambitious high-quality journalism across an ever-broadening range of topics and formats. And before I close, I would like to officially welcome Will Bardeen on his first earnings call as CFO. I'll turn it over to Will now to walk through our financials in more detail, including an update about changes we've made to our disclosures to more clearly communicate our progress to investors. Over to you, Will.
Will Bardeen: Thanks, Meredith. Good morning, everyone. It's a truly exciting moment to step into the CFO role at The New York Times Company. I view us as a global market leader with a large opportunity in front of us. I see us clearly demonstrating a virtuous cycle between the pursuit of our journalistic mission and the success of our business. I believe the strategy that Meredith described positions us to deliver sustainable digital revenue growth, AOP growth, free cash flow growth and margin expansion in what continues to be a challenging market. Today, I'll start with this quarter's key results, followed by our financial outlook for next quarter. I'll conclude by discussing the enhanced disclosures we've made to help investors better track our strategic progress. Please note that all comparisons are to the prior year period unless otherwise specified. I'll first turn to subscription revenue and its drivers, which were at the core of our business model. Total subscription revenues increased approximately 7% in the quarter, with digital-only subscription revenue growing 13% to approximately $270 million. Digital subscription revenue growth was driven by large numbers of subscribers paying higher prices as well as the net new digital subscribers we added over the last year, 180,000 of which we added in the second quarter. Meredith highlighted that bundle adoption for both new and existing subscribers continued to be strong. We now have well over 3 million digital-only bundle and multiproduct subscribers after adding 280,000 this quarter. This is approximately double the number we added in the same quarter last year. Digital subscription revenue growth was also driven by higher total digital-only ARPU. This quarter's total digital-only ARPU of $9.15 increased approximately 1.2% sequentially and 3.6% compared to the same quarter last year. The growth in digital-only ARPU was driven primarily by our price increases on tenured single-product subscribers. We are pleased with the results of the price increase rollout so far, which reflects the significant value we've been adding to our products over multiple years. In total, over 1 million subscribers began paying higher rates from price increases within the second quarter. As a reminder, by the end of the year, we expect to have notified at least 1.5 million total subscribers of price increases for single product subscriptions. Moving on to advertising and our other revenue streams. Total advertising revenue for the quarter was approximately flat with digital advertising revenue increasing 6.5% to approximately $74 million. The digital increase was primarily due to first-party data products at both the Athletic and The New York Times Group, partially offset by continued weakness in podcast advertising. Print advertising was lower by approximately 9% driven by declines in most categories other than luxury. While we were pleased to have exceeded advertising guidance this quarter, it's clear that market visibility remains a challenge. We also exceeded our guidance in other revenues, which increased approximately 16% to approximately $64 million. The outperformance was primarily the result of higher-than-expected Wirecutter affiliate revenue and TV and film revenue. Turning now to costs and the progress we are making in driving AOP growth and free cash flow growth. Adjusted operating cost growth moderated in the quarter to approximately 4%. Consistent with our strategy, this growth was driven primarily by investments in journalism and product development. Marketing costs were down in the quarter, but still at levels that reflect relatively stable marketing investments for several quarters now, and we continue to slow headcount growth in areas of the business where we believe we can operate more efficiently. Costs overall in the quarter came in lower than guidance due primarily to the timing of contractual agreements as well as the deferral of some discretionary expenses to the second half. We reported AOP of $92 million in the quarter, higher than the same period in 2022 by approximately $16 million. AOP at The New York Times Group was approximately $100 million, an increase of approximately $11 million. The Athletic had adjusted operating losses of approximately $8 million, an improvement of $5 million. Our business model generates strong free cash flow, almost $109 million in the first half of the year. This compared with negative free cash flow of approximately $3 million in the same period of 2022, which was anomalous due to the impact of the acquisition costs for the Athletic. The $109 million of free cash flow year-to-date consisted of approximately $120 million of operating cash flow, less approximately $11 million of capital expenditures. We have a balanced approach to capital allocation, which includes both ongoing investment and disciplined return of capital. We have returned almost $77 million year-to-date through a combination of $44 million in stock repurchases and $33 million in dividends. As we have previously stated, we expect to return at least 50% of free cash flow going forward. We had one special item in the quarter, a $13 million impairment charge related to excess leased satellite office space that is being marketed for sublet. I'll now look ahead to Q3 for the consolidated New York Times Company. Total subscription revenues are expected to increase 8% to 10% compared with the third quarter of 2022, with digital-only subscription revenue expected to increase approximately 14% to 17%. Overall advertising revenues are expected to be approximately flat. Digital advertising revenues are expected to increase mid-single digits. Other revenues are expected to increase 13% to 16%. Operating costs are expected to increase by approximately 5% to 7%, while adjusted operating costs are expected to increase by approximately 5% to 8%. Our general expectation of cost growth moderation over the course of 2023 has not changed, and we currently expect cost growth in Q4 to be closer to what we experienced in Q2 after adjusting for the extra week in Q4 of 2022. With half the year behind us, we believe we are on track for the modest margin expansion we've been aiming to deliver beginning this year. Finally, some remarks about our enhanced disclosures designed to help communicate progress on our strategy to investors. A central aim of our strategy is to maximize the profitable growth of digital subscription revenue over the long term. In other words, the lifetime value of our current and future subscriber base. We believe the three best Signposts for tracking success here are the growth in our total number of subscribers, the mix shift of our subscriber base to the bundle and the growth in total digital-only ARPU. To make it easier for investors to understand the key dynamics that are driving changes in total ARPU, we are breaking out digital subscribers and ARPU into three mutually exclusive categories, bundle and multiproduct subscribers, news-only subscribers and other single product subscribers. The enhanced disclosure will illuminate our progress as we aim for the bundle and multiproduct subscriber category to surpass 50% of our total base over the next few years, up from 33% at the end of the second quarter and 22% at the same time last year. It will also help investors better understand the impact of subscriber mix shifts and our value-based pricing strategy on ARPU. As we grow our total subscriber base, we continue to aim for modest expansion in total digital-only ARPU. With this change, we will no longer report digital-only subscribers with news as a separate metric. We are now disclosing news-only subscribers and all of our bundled subscribers as well as the vast majority of our multiproduct subscribers pay for access to the news product. So the sum of subscribers in these two categories serves as a good proxy. With that, we'd be happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Doug Arthur from Huber Research Partners. Please go ahead.
Doug Arthur: Yes. Thank you very much. Meredith, the bottom line of the quarter seems to me much better than anticipated digital advertising. I mean you were guiding down there. And obviously, the Athletic helps and lower media costs. So traffic was slower. I assume you saw less opportunity to convert. I mean that seems the cost much better than expected. Is that a misread?
Meredith Kopit Levien: The readout – the digital advertising is correct. Great. We had a much better-than-expected quarter. On marketing, I can't quite tell what you're asking, but I'll say the sort of reduction in marketing spend you've seen us make over the last year is strategic. We've said for a long time and that's been journalism invest in the product, invest in the marketing until we get to a point where the organic engine is doing more of the work and then you can begin to rationalize that investment in marketing. So I would regard that as kind of part of the plan. So - but feel free to ask the question in another way, if I'm not getting to what you're poking at.
Doug Arthur: No. No, that's fine. In terms of the digital advertising environment, are you seeing what you regard as a modest paradigm shift in momentum. I think you called out programmatic is being better. Has anything changed? And your guidance certainly for Q3 is pretty good, too.
Meredith Kopit Levien: That's a good question. The thing that I called out is that the core of our digital ad business, which is basically the big ad units, the premium ad units that we have with first-party data kind of underlying them. That part of the business has actually been resilient in kind of the whole way through in a difficult ad environment, and that's what did really well relative to our expectation in this quarter that we believe that is a very good signal because that's sort of the fundamental thing we're doing. And what you're seeing us do now is start to extend those ad products for the big ad campuses and the first-party data, the other parts of the bundle, the Athletic is a real bright spot there. We're super excited about sports as an ad proposition and the Athletic specifically, there's a lot of interest there, but it's not just the Athletic. We extended the ad products to game in a particular way this quarter for the first time. We did this really cool partnership with Storebatch [ph] that works - there's just lots of opportunity to take those products and expand them across the bundle, and we feel good about that. I'll say visibility isn't great. Bookings still happens pretty late, which is consistent with an uncertain economy, I've been here a decade now. I've seen the pattern. But as you say, certainly, our outlook going into Q3 reflects what we see today and that feels better than what our outlook was going into Q2.
Doug Arthur: Great. Thank you very much.
Operator: The next question comes from Ashton Welles from Evercore ISI. Please go ahead.
Ashton Welles: Thank you for taking the question. Two questions for me. One on the digital strategy and one on Wirecutter. First, just in terms of the digital strategy going forward, how should we think about sort of you guys having different products for the time such as creating [ph] a stand-alone audio app versus sort of bundling everything into one central app as you did with news and games last year? And then secondly, on Wirecutter, just how should we think about the durability of this Wirecutter affiliate revenue strength? Is this more a function of more customers having access to Wirecutter with the bundle now? Or is this course sort of more driven by unique factors in the calendar that benefited Wirecutter recently? Thank you.
Meredith Kopit Levien: Thanks for the question, Ashton. I'll take the first pass, and Will, you should feel free to add anything I miss. I think the answer to your first question, if I understood it correctly, is how do we think about sort of the product portfolio and its component parts. I would say we are very, very focused on having - the strategy is world's best news destination, a set of destinations that help people to make the most of their lives and passions beyond news and then putting all that together in a comprehensive subscription bundle that's valuable to you, whatever is going on sort of in the world and your passions are in the news cycle. That's the strategy. The way that has played out for the most part, not everywhere, but for the most part, is we obviously have a core news destination that is also the gateway to everything else we offer. And then each of our other products with the exception of Wirecutter, also presents in the form of a destination or an app. And we think for now that's really working. I can't say enough about how strong subscriber engagement has been this quarter and the last quarter. And so we see that as really working. So I don't know if that's what you're pushing on, but that's the strategy. And we want to get as many people to experience and ultimately buy the times [ph] in this kind of most comprehensive form and breadth as a bundle as we possibly can because if they buy the bundle, there so far as the pattern has been, they're more likely to engage more to stay longer and over time to pay more. So that's my answer to the first part of your question. On Wirecutter, we're loving what we see so far. Wirecutter has consistently, I think we're 5.5, 6 years into owning Wirecutter. It's been a great story the whole way through. I think we've got a differentiated product in product reviews. And I think what you're seeing there is just strong performance that answers to a real consumer need for deeply reported product reviews.
Ashton Welles: Got you. Thank you.
Operator: The next question comes from Thomas Yeh from Morgan Stanley. Please go ahead.
Thomas Yeh: Thanks very much. I appreciate all the new color on dissecting ARPU and net adds by product type. I wanted to follow up a bit on that bundle adoption point. It's a subset of the bundle in multiproduct segments. And I think you mentioned bundle crossing 1 million milestone a couple of quarters ago, which still is the minority, I think, of the overall multiproduct piece of it. If the vast majority of them are also subscribers with news entitlement, what's kind of keeping some of those multiproduct subs from moving towards the bundle? And maybe some color on whether they're higher or lower ARPU. And perhaps on a related point, as a follow-up, why has that bundle ARPU been coming down sequentially over the last few quarters? Is it that mix of bundled versus multiproduct or more promotional uptake?
Will Bardeen: Yes. Thanks, Thomas. I'll take that. Let me start actually with the second part of your question. What you're seeing there with bundle ARPU is a direct result of our strategy. It's exactly what we would expect. It doesn't have to do with the multiproduct bundle relationship. It just has to do with the overall value-based pricing strategy that we have that you've seen at play in news in the past where we - in a period of growth where we're getting a lot of people into the bundle. The - with promotional pricing. You see that relationship between growth in subscribers and ARPU. That's, as I said, completely expected as part of the strategy over time as we get people step up in price, we'll see that stabilize and turn the other way. But completely what we expect today, and keep in mind, the key thing to look at in this disclosure, ultimately, the big Signpost to success is that modest total digital-only ARPU increase over time. On the first part of your question, I don't think it's fair to say that the bundle is a minority. It's actually over 2 million of that total. And we like both the bundle and multiproduct subscribers. Obviously, our strategy, we think the bundle is the best value product over time, and we're encouraging people to take the bundle. As you noted, the vast majority of our multi-product subscribers also take news. So they're very high-value subscribers to us either way, and that's why we bucketed them together. This is essentially people who have access to either all or the vast majority of our products.
Thomas Yeh: Great. That's super helpful. And maybe just as a final follow-up. Maybe stepping back, any color on how much of the bundle growth you're seeing do you think is happening from news only subscribers that you're successfully converting into a broader offering? Or any idea of maybe an ability to attract new bigger TAM as you lean into the suite of offerings versus the focus originally on news only?
Meredith Kopit Levien: Yes, I'll take that one. Will, you should feel free to add anything. The - I'll take the second part of your question first. The point of the bundle was to be attractive to. It has many points, but one of them is to be attractive to even more people. We think we've got a big TAM. We've talked about that TAM and I think the bundle helps us penetrate that they can better and I think you're seeing that in action and we've seen that in action now for 5 or 6 or 6 quarters. So we feel very good about that. And then, Thomas, remind me on the first part of your question.
Thomas Yeh: Just the mix shift of news only subscribers moving into - migrating into the bundle.
Meredith Kopit Levien: Yes. What you're seeing in terms of the high number of bundled net adds and high percentage of starts on the bundle is a combination of new people taking the bundle and also upgrades. But it is more new people taking the bundle than it is upgrades. So I think that's the important thing to know. And the sort of underlying detail that may not be obvious is that is because we are anywhere we would otherwise sell a new subscription and in a number of other places like games, we are intervening and saying, do you want to buy the bundle instead we're doing that particularly in news. So many of the people who are buying the bundle are people who would have otherwise bought news in a previous era.
Thomas Yeh: Got it. It's very helpful. Thank you.
Operator: The next question comes from David Karnovsky from JPMorgan. Please go ahead.
David Karnovsky: Hi, thanks. Just going back to digital advertising for a second. You mentioned strength in your directional products. I want to see if you could speak a bit on where you're seeing some of that stronger demand maybe by vertical. Just wanted to get a sense for how much of the outperformance of the quarter is maybe a general market rebound versus you expanding your ad inventory?
Meredith Kopit Levien: Yes. Great question. On the second part, it is so hard to call what's happening. We'll just keep saying our visibility is pretty low and the kind of mass station [ph] of that is late booking and you see that in the guide and then the beat on the guide. But certainly, if you look at the guide for the next quarter, it's better than our outlook was a quarter ago. So that feels - in that is our sense of the market. And then I would say - so that is a piece of it. But I do think the other piece of it is we've got these ad units that really performed for marketers, and we are opening up new - both sort of new supply and I think new pockets of demand. Sports is probably the best, most prominent example of that. We're just bringing new advertisers to The Times, I keep using [indiscernible] It's the big example, but it's not the only one. We're just bringing new advertisers sort of in the fold that we didn't have before, and we're really seeing that pay out in for - we're very excited about that, but it's not the only place. I think games, I think, cooking over time, potentially the Wirecutter all of these present an opportunity for The Times to be relevant across a wider array of categories. And I'll say we were already kind of relevant across a lot of categories, but there are some consumer lifestyle categories where we maybe weren't as relevant. And given the scale of our audience and the uniqueness of these products, I do think we're opening up more channels for demand. I'm going to say one more thing that you didn't ask, but we've also got - we took our former Head of Advertising, and he is now overseeing the Athletic, which has been terrific so far. And we have a new Head of Advertising named Joy Robbins for The Times, and we feel optimistic about what's ahead there.
David Karnovsky: Okay. And then just on the AI question. We've seen some reports that Times along with maybe some other digital publishers may look to negotiate collectively with tech platforms over use of their data. Is there anything you can say in your strategy and should investors tend to think of the opportunity here as something I can to your commercial agreements? Or is it something different from that?
Meredith Kopit Levien: Really, really good question. Let me give you kind of a step-back answer, which is we are incredibly focused on further evolution of the information ecosystem. We've been very focused on over the last half dozen years, and we see real opportunity in the change that potential - is potentially coming here, and we feel very prepared to navigate that. I'll say specifically to your question, we think our IP, we're sitting on a mountain of very valuable IP. We also produce every single day, new IP, and we think that IP has tremendous value. And we're working our way through the best way to manifest and realize that value. I'll say even more broadly, I think if you imagine an information ecosystem where a lot of what is out there is synthetically produced, which we could be heading to the sort of premium and value for human-made content trustworthy brands, I think, becomes that much more important, but as an underpinning to that information ecosystem and sort of for readers, for people, for consumers, for society. So you can imagine, we're spending a lot of time on this and thinking very hard about it.
David Karnovsky: Thank you.
Operator: The next question comes from Vasily Karasyov from Cannonball Research. Please go ahead.
Vasily Karasyov: Thank you, good morning. I wanted to ask a question about other revenue. So it seems like judging by your guidance, we should expect more or less constant revenue in Q3 compared to Q2. So a couple of questions. Should we still expect the same seasonal uptick in Q4 as we saw in previous years? That's number one. And number two, did the incremental margin on that revenue change compared to previous years since the composition of the revenue seems to be changing with more film and TV, TV and film revenue, the Google agreement and Wirecutter revenue being a higher proportion of this line? Thank you.
Will Bardeen: I'll take that, Vasily. The other revenue, as we said was - in Q2 was really driven more than anything by real outperformance in Wirecutter. And Meredith mentioned in her prepared remarks, it's a strong Prime Day. So I think if we look at our guidance and other revenue, it's very much being driven by similar factors. And we don't guide on Q4. But obviously, part of our strategy is to continue to drive these revenue streams. In terms of incremental margins, Wirecutter, our licensing, these are high incremental margin businesses. Obviously, there is a mix of things in other revenue. But to the extent that the revenue growth is being driven by those, that's attractive.
Vasily Karasyov: Okay. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mike Brown for any closing remarks.
Mike Brown: Thank you for joining us this morning. We look forward to talking to you again next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.